Operator: Ladies and gentlemen, thank you for standing by, and welcome to CS Disco's Third Quarter of Fiscal Year 2025 Conference Call. [Operator Instructions] I would now like to turn the call over to your first speaker today, Head of Investor Relations, Aleksey Lakchakov. Alexey, please go ahead.
Aleksey Lakchakov: Good afternoon, and thank you for joining us on today's conference call to discuss the financial results for DISCO's third quarter of fiscal year 2025. With me on today's call are Eric Friedrichsen, DISCO's Chief Executive Officer; Michael Lafair, DISCO's Chief Financial Officer; and Richard Crum, DISCO's Chief Product, Technology and Strategy Officer. Today's call will include forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including, but not limited to, statements regarding our financial outlook and future performance, our future capital expenditures, market opportunity, market position, product and go-to-market strategy and growth opportunities and the benefits of our product offerings and developments in the legal technology industry. In addition to our prepared remarks, our earnings press release, SEC filings and a replay of today's call can be found on our Investor Relations website at ir.csdisco.com. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results, performance or achievements to be materially different from those expressed or implied by the forward-looking statements. Forward-looking statements represent our management's beliefs and assumptions only as of the date made. Information on factors that could affect the company's financial results is included in its filings with the SEC from time to time, including the section titled Risk Factors in the company's annual report on Form 10-K for the year ended December 31, 2024, filed with the SEC on February 20, 2025, and the company's upcoming quarterly report on Form 10-Q for the quarter ended September 30, 2025. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for or superior to measures of financial performance prepared in accordance with GAAP. Reconciliation between GAAP and non-GAAP financial measures and a discussion of the limitations of using non-GAAP measures versus our closest GAAP equivalent is available in our earnings release. And with that, I'd like to turn the call over to Eric.
Eric Friedrichsen: Good afternoon, everyone. I am delighted to be here with you all today to report on another quarter of accelerated revenue growth and operational execution for DISCO. Software revenue in Q3 was $35.2 million, up 17% year-over-year, while total revenue in Q3 was $40.9 million, up 13% year-over-year. Adjusted EBITDA for Q3 was negative $297,000, representing an adjusted EBITDA margin of negative 1%, which is a $4.2 million improvement over Q3 of 2024. Our results include $1.3 million of revenue related to a matter that was contingent on a successful outcome of the case. Michael will speak more to this later. But even without this bump, I am pleased to share that we exceeded the high end of our guidance range for software revenue, total revenue and adjusted EBITDA. We finished the quarter with $113.5 million of cash and short-term investments and no debt. We ended Q3 with 326 customers who each contributed more than $100,000 in total revenue over the last 12 months. The proportion of revenue attributable to these customers is 76%. We're extremely excited about our performance this quarter. The growth acceleration coupled with our improved operational execution is a testament to our larger strategy. Last quarter, I discussed our focus of the growth of large multi-terabyte matters, and we've seen continued positive trends this quarter in that area. The usage patterns in our business have continued to give me optimism. This quarter, we saw continued growth in revenue from both large and small matters with acceleration in revenue from multi-terabyte matters. We are also very pleased with the continued adoption that we are seeing related to our suite of generative AI capabilities, including Cecilia AI and our AI-driven Auto Review. The number of customers utilizing Cecilia AI over the quarter more than tripled year-over-year, and we have experienced consistent sequential growth in Auto Review adoption throughout 2025. Our overall positive performance continues to be driven by our relentless focus on delivering value to our customers through our value proposition of with you in every case. A great example of this is with a large multinational company involved in an industry-transforming lawsuit. They selected DISCO as their legal technology provider and services partner. The case involves more than 10 terabytes of data, and this customer chose DISCO because we demonstrated our end-to-end capabilities in handling very complex cases. This customer selected DISCO because they value the speed, scale and ease of use of the DISCO platform. They were able to reduce time to evidence while searching across hundreds of thousands of conversations, spanning multiple communication forms and time periods. And in terms of support, they valued our onboarding and our in-house services capabilities. They appreciated their forensics team was on call to handle dozens of data sources, that we had a fully staffed project management team and that we had leading review experts who could partner with them to deliver end results at an exceptional speed. This customer was sourced through our lead generation team, leveraging the new territory-based account orchestration model that I mentioned last quarter. This is just one example of that change already yielding results. The entire sales process for this customer was completed in roughly 4 months, a clear demonstration of the strength of our strategy and execution. Our results this year reflect a sharper focus on the right customers. Over the past year, we refined our approach to target those that we believe are the best fit for DISCO based on their scale, industry and complexity as well as the specific matter types to best take advantage of the capabilities of the DISCO platform. This is further validated by IDC, who named DISCO a leader in the 2025 IDC MarketScape for worldwide end-to-end eDiscovery software. The IDC MarketScape noted that with the ability to scale seamlessly from modest projects to multimillion document matters, DISCO's tools handle large data volumes effectively, facilitate thorough analytics and support core workflows such as time line creation, deposition summarization and intelligent batching, all while maintaining accuracy and transparency for defensibility. This is a powerful statement by IDC that really encompasses what we strive to do here at DISCO. As you know, we have previously discussed how our platform is particularly beneficial for certain types of matters. One of these matter types is intellectual property litigation. This past quarter, we began a new initiative that highlights our strength in IP litigation over our competitors, focusing a portion of our marketing and sales efforts specifically on IP litigation. Customers tell us that DISCO is an ideal fit for IP litigation for 3 key reasons. First, IP litigation cases are typically very large and highly technical, involving decades of research, product development files, technical specifications, e-mails, source code, CAD files and other complex document types. DISCO's ability to handle complex file types and deliver at scale makes us a key enabler of client success, and we shine brightest when building deep trusted partnerships in these types of environments. The second reason is that these matters tend to be high stakes bet the company litigation. A company's entire business plan may hinge on the outcome. DISCO's AI embedded within our platform helps lawyers quickly identify and understand the most relevant materials seamlessly across diverse file types, providing a strategic case-defining information advantage to the legal teams. Third, these cases typically involve aggressive time lines set by the courts and sheer volume of work that makes speed and precision critical. Our AI-assisted workflows with Cecilia AI and Auto Review significantly reduce time to evidence, enabling our customers to hit deadlines and develop an optimal case strategy without sacrificing accuracy or quality. Our unique capabilities make DISCO the natural solution for IP litigation that can deliver significant value for our customers while driving long-term growth for DISCO. As a matter of fact, this customer success story that I mentioned earlier is an IP-related matter that perfectly fits our strategy. In the future, you will see us roll out similar initiatives for other matter profiles where DISCO delivers immense value compared to our competitors. Finally, we are operating in a highly complex environment. The legal world is changing rapidly, and DISCO is in a prime position to be the disruptor in this technology revolution. We have a core platform that makes complex workflows look simple and effortless, which is then paired with AI capabilities that are transformational to how our customers approach their craft. I often get questions from you about Cecilia and our generative AI innovation and how DISCO is different. With that in mind, I want to take some time for you to hear directly from Richard Crum, our Chief Product, Technology and Strategy Officer, on this specific topic, and I'm excited for you to hear from him. So with that, I'll turn it over to Richard.
Richard Crum: Thanks, Eric. I appreciate the opportunity to share more about how and why our technology is a strategic advantage in this really exciting time. I joined DISCO 16 months ago, knowing of our reputation for having a strong product and for leveraging modern cloud technology and AI to offer a solution that is intuitive, innovative and operating at scale with impressive performance metrics. I also joined looking forward to teaming up again with Eric, whom I worked with as Chief Product Officer at Emburse. Here at DISCO, I have the privilege of leading our product and engineering teams, and I've seen close up how effective we are at offering solutions that meet the high bar our customers have for the technology they use to achieve the best outcomes on the legal matters they manage. Let me give you some examples of why that is true. It shouldn't surprise you that I want to start to tell you about the AI capabilities that make our products so effective with customers. Before I talk about the GenAI features that understandably get more airtime, I think it is important to note that DISCO has been building AI throughout our products for over a decade in ways that directly impact how our customers manage legal matters. Our dynamic topic clustering technology is often the first place a user of DISCO will go after ingesting all of the likely relevant documents. The analytical capability of the models that powers this set of features gives attorneys a quick glance into the people, entities, information and topics resident in the document population. The technology automatically updates the information as new data and documents are added to the platform. Attorneys use this tool set to help understand and analyze thousands or millions of documents in real time. And they can do this without requiring the help of a services team or needing to leverage a separate solution. It's one of the many great examples of the power of the DISCO platform and something we know drives real value for our customers. A second example is our predictive analytics that observes the work attorneys do in DISCO and directs them to the other documents and data that are likely to be highly relevant based on how they have interacted with other documents. When you have a database with terabytes of information, the time savings this capability offers can be massive. And helping legal teams quickly narrow down the population of documents down to the right set enables them to focus on the evidence that matters most. In the last few years, we have built on the foundation of these examples of AI-powered tools to offer additional GenAI features that we call Cecilia. They further enable legal teams to identify relevant evidence quickly and with confidence. Cecilia Q&A operates at the level of an individual document or across an entire database that could contain millions of documents. In a simple context-aware chatbot, lawyers can ask natural language questions and interact with the data as if they were speaking to an associate who has read and fully understood every single document and get answers with reference only to the evidence contained in the documents because that's what we built Cecilia to be. And it's not just impressive at finding the key documents quickly and explaining to you why they're relevant to your inquiry. Cecilia is built to be a trusted tool for attorneys. In a world that worries about generative AI hallucinations and what data a model was trained using, we developed Cecilia to be technology that customers can have confidence in. When it returns results, it also provides citations back to the exact part of the document that is used to answer your question. And its answers are only based on the documents in your database. This is not a simple LLM wrapper. We develop Cecilia with a set of technical sequences that deliver a product experience that is powerful and impactful to your legal work. Cecilia Q&A is just one of the impressive GenAI skills that is built right into the DISCO platform at moments in the workflow that matter. We also offer document summaries, definitions of any term based on the information of the document set, automatic time lines and topic summarization of deposition transcripts. Altogether, Cecilia is a sophisticated set of tools, leveraging generative AI technology that we have been offering to the market for almost 2 years and constantly investing to make it better. Tools built upon the existing system of record the legal team is already using to manage the matter. And when legal professionals experience the impact, it can be hard to imagine working on a matter without Cecilia. A great example comes from an Am Law 50 customer that tried out Cecilia AI for the first time in July of 2024. They saw the value that is provided by utilizing these capabilities I just described. And since that initial use of Cecilia, their adoption has continued to expand. Following their initial trial, this customer has adopted Cecilia AI in a variety of types and sizes of matters from matters as small as 5 gigabytes to large complex matters with millions of documents. In fact, the number of matters utilizing Cecilia AI at this firm has grown 7x from Q3 2024 to Q3 2025, which corresponds to a more than 12x growth in revenue. We are proud to continue partnering with this innovative customer, delivering advanced generative AI solutions that turn time-consuming legal challenges into streamlined, high-value opportunities. Another DISCO GenAI capability that has been delivering significant value to customers for more than a year now is Auto Review. You have heard Eric and Michael talk about Auto Review since it was launched last August and how impressed customers have been with its performance, accuracy and the cost savings it offers, particularly on very large matters. From an engineering standpoint, it represents something much more sophisticated and technically challenging than sending off documents to a large language model. The technology behind Auto Review is built upon a decade of deep understanding of the review process and technology that was developed to handle the scale and complexity of documents and data that our customers bring to DISCO. This technology earns our customers' trust by providing clear explanation for tagging performed by Auto Review and offering tools to report quality statistics that align with how courts measure the efficacy of other technology-assisted document review approaches. I've spoken a few times about trust when describing our AI-based capabilities. We take that very seriously, and it extends even back to the core technology platform where we bring all these features and capabilities together in a simple yet powerful user experience. At DISCO, we obsess about ensuring the entire product experience for our customers is secure, reliable and incredibly performant at the scale of the matters that our customers bring. The volume and sources of data that could be necessary to review for evidence and litigations, investigations and regulatory matters has continued to explode and no one believes there's an end in sight. This has resulted in customers bringing larger and larger matters to DISCO, and we have continued to perform with the speed and accuracy they've come to expect. That's because DISCO was built for scale. Leveraging the best technology and engineering talent, DISCO is ready for whatever our customers need. Let me finish up with a word on another phrase I've used more than a few times in my commentary, and that's scale. Because of our personal experience with consumer technology that can feel like it's improving at an astronomical rate, we can begin to believe that business software in general is also advancing at the same rate, but that's not always true. In fact, much of the legacy software used for document review is far behind DISCO and how well it performs under high database sizes. Ask any legal professional about their experience in legacy Ediscovery solutions with simple tasks like switching between 2 documents or running a keyword search, and you're very likely to hear the word slow in their response. That's because operating at scale doesn't just mean being able to hold a large quantity of data. It also means providing a user experience that runs just as well in both small and massive sets of data and documents. This is an area where DISCO shines. And we do it both with those simple tasks I just referenced and the experience of using Cecilia Q&A, something that definitely leaves our users amazed when they see it live. Operating a platform that performs like DISCO is the result of years of solid engineering work and our obsession with providing an incredible user experience to everyone who logs into DISCO every day. And it is a great example of how we are with you in every case. It is not easy to operate AI at the scale the way we do at DISCO. It is also a competitive advantage that will enable DISCO to continue to expand our product offering and win more and more loyal customers who say it has to be DISCO. And with that, let me turn things over to Michael.
Michael Lafair: Thank you, Richard. In Q3 2025, total revenues were $40.9 million, up 13% year-over-year, and software revenues were $35.2 million, up 17% year-over-year. Included in these balances is the revenue contributed from a case that has been on our platform for several years and was contingent on the successful outcome of the case. In Q3, we were able to recognize $1.3 million of total revenues from this case, of which $1.2 million related to software. I would like to note that the Q3 total revenue and software revenue year-over-year growth would have been 9% and 13%, respectively, without this contingent revenue, which still exceeds the high end of our guidance range for both metrics. Excluding the large one-time case we recognized in Q3, 2 primary drivers of the software year-over-year revenue performance were growth in the revenue across large and small matters, especially with multi-terabyte matters as well as growth of Cecilia AI adoption. Services revenues, which include DISCO managed review and professional services, were $5.7 million. In discussing the remainder of the income statement, please note that unless otherwise specified, all references to our gross margin, operating expenses and net loss are on a non-GAAP basis. Adjusted EBITDA is also a non-GAAP financial measure. Our gross margin in Q3 was 77% compared to 74% in the prior year. As we mentioned before, our gross margins fluctuate from period to period based on the nature of our customers' usage, for example, the amount and types of data ingested and managed on our platform. Sales and marketing expense for Q3 was $13.6 million or 33% of revenue compared to 38% of revenue in Q3 of the prior year. On a dollar basis, sales and marketing expense decreased $0.2 million, predominantly driven by lower marketing and consulting expenses. Research and development expense for Q3 was $11.5 million or 28% of revenue compared to 31% of revenue in Q3 of the prior year. On a dollar basis, research and development expense increased $0.4 million, driven primarily by headcount-related costs. General and administrative expense in Q3 was $7.7 million or 19% of revenue compared to 21% of revenue in Q3 of the prior year. Adjusted EBITDA was negative $0.3 million in Q3, representing an adjusted EBITDA margin of negative 1% compared to an adjusted EBITDA margin of negative 12% in Q3 of the prior year. This represents a beat of the high end of the guidance range we provided last quarter and $4.2 million year-over-year improvement. Net loss in Q3 was $0.6 million or negative 1% of revenue compared to a net loss of $3.9 million or negative 11% of revenue in Q3 of the prior year. Net loss per share for Q3 was $0.01 compared to $0.06 per share for Q3 of the prior year. Turning to the balance sheet and cash flow statement. We ended Q3 with $113.5 million in cash and short-term investments and no debt. Operating cash flow for the first 3 quarters of 2025 was negative $15.7 million compared to negative $10.8 million in the same period of the prior year. Turning to the outlook. For Q4 2025, we are providing total revenue guidance in the range of $38.75 million to $40.75 million and software revenue guidance in the range of $33.75 million to $34.75 million. We expect adjusted EBITDA to be in the range of negative $3.5 million to negative $1.5 million. For fiscal year 2025, we anticipate total revenue guidance in the range of $154.4 million to $156.4 million and software revenue guidance in the range of $132.6 million to $133.6 million. I would like to note that the contingent revenue case I spoke about earlier was previously included in our full year guide. We expect adjusted EBITDA to be in the range of negative $11.5 million to negative $9.5 million. Now I'd like to turn the call over to the operator to open up the line for Q&A. Operator?
Operator: [Operator Instructions] And it appears there are no questions. So I will now turn the call back over to CEO, Eric Friedrichsen, for closing remarks. Eric? Actually, Eric, we did just receive one question, if you would like to take it.
Eric Friedrichsen: Sure.
Operator: Okay. Our first question comes from the line of DJ Hynes with Canaccord.
David Hynes: I guess I just wanted to ask about the contingent liability or the contingent case rather. How many cases are like that? Is that industry standard or it's still a little odd?
Richard Crum: DJ, let me touch on that real quick. We have a small number of other contingent cases in the system, but nothing close to this size. Let me explain by what we mean by a contingent case. It's basically on a limited basis, we'll enter into a contract where basically the payment is contingent on the conclusion of the legal matter. And in these instances, we don't recognize the revenue until the legal matter is resolved. In Q3, one of our customers under one of these arrangements experienced a favorable conclusion, allowing us to recognize $1.3 million in revenue, of which $1.2 million was software and the balance was services.
Eric Friedrichsen: Yes. And so that's why we called it out specifically, DJ. We had 17% software growth and 13% overall growth. But even without that case, we had 13% software growth and 9% overall growth in the business, which exceeds the high end of our range even without that contingent case, but we did want to make sure to call out that contingent case specifically.
David Hynes: Okay, great. And then just a quick one for Michael. So we have your previous guidance or I guess your target for in-quarter EBITDA breakeven for Q4 of 2026. But I'm looking at -- we're seeing some linear improvement over the past couple of quarters where you were just under breakeven this quarter. Are you still maintaining that target for next year or do you think there's some upside we could see there?
Eric Friedrichsen: I'll take that one. This is Eric. Yes, we're still targeting adjusted EBITDA breakeven for Q4 of 2026. We could certainly push to get to profitability sooner. But right now, we're making really smart investments in the business that are obviously paying off in the results in terms of the go-to-market investments that we make, in terms of the innovation investments that we make and those transformational investments. So look, this is a big market. It's a growing market, and the money that we're spending right now is really helping accelerate the revenue of the business. So the target is still Q4 of 2026 for adjusted EBITDA breakeven.
Operator: [Operator Instructions] All right. Do not see any callers. So again, I will hand the call back to CEO, Eric Friedrichsen, for closing remarks. Eric, take it away.
Eric Friedrichsen: Great. Thank you very much. Thanks, everyone, for joining the call today. Look, I am really pleased that our progress in Q3 and really, frankly, our progress throughout the entire year. We've been very fortunate. We set a strategy for this year to focus on our biggest and best customers with the most opportunity for growth and also the matter types where we could add the most value to our customers and also generate the most revenue for DISCO. So we set that strategy, but more importantly, I'm really proud of the team for how they've executed upon that strategy. And it's given us the opportunity in each of the quarters this year to be able to beat our guidance -- this last quarter to be able to beat the high end of our guidance range and for us to be able to increase our guide for the full year every single quarter. But it's not even so much the results that I'm happy about. It's the team and how they've executed upon our strategy. And that gives me a lot of confidence. It gives me a lot of confidence about our future. So I just want to thank our teams. I want to thank our customers for everything they're doing to stay focused on accelerating the growth for DISCO. And I'm looking forward to updating you next quarter. Have a great evening.
Operator: Thanks, Eric. And this concludes today's conference call. You may now disconnect. Have a great day, everyone.